Operator: Ladies and gentlemen, thank you for standing by and welcome to Aptar's 2025 Second Quarter Results Conference Call. [Operator Instructions] Introducing today's conference call is Ms. Mary Skafidas, Senior Vice President, Investor Relations and Communications. Please go ahead, Mary.
Mary Skafidas: Thank you. Hello, everyone and thanks for being with us today. Our speakers for the call are Stephan Tanda, our President and CEO and Vanessa Kanu, our Executive Vice President and CFO. Our press release and accompanying slide deck have been posted on our website under the Investor Relations page. During this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measure and the reconciliations are set forth in the press release. Please refer to the press release disseminated yesterday for reconciliations of non-GAAP measures to the most comparable GAAP measures discussed during this earnings call. As always, we will also post a replay of this call on our website. I would now like to turn the call over to Stephan. Stephan, over to you.
Stephan B. Tanda: Thank you, Mary, and good morning, everyone. We appreciate you joining us on the call today. I will begin my remarks by highlighting our second quarter results. Later in the call, Vanessa Kanu, our CFO, will provide additional details on key drivers for the quarter. Starting on Slide 3, we delivered a strong second quarter exceeding the high end of our guidance range, delivering an adjusted earnings per share of $1.66, an increase of 18% over the prior year quarter. Each of our segments contributed to our growth in the quarter. Core sales increased driven by our Pharma and Closures segments. We saw solid demand for our Pharma segment's proprietary drug delivery systems used for emergency medicines, asthma, COPD and ophthalmic treatments. Additionally, strong sales of elastomeric components for injectables and active materials as well as royalties helped drive our strong results. Demand for dispensing closures for sauces, salad dressings and functional drinks also contributed positively to our quarterly results. Three of our divisions in Pharma showed robust core sales growth this quarter. Prescription delivered a core sales increase of 8%; Injectables, 9%; and Active Materials Science Solutions grew core sales by 11%. The exception was our Consumer Healthcare division, which continued to be impacted by softer demand for dispensing technologies in the nasal -- saline and nasal decongestions. Consumer Healthcare's 2 largest regions are Europe and North America, while sales in North America grew nicely, Europe has not yet recovered from the excess inventory due to a weaker cold and flu season. The visibility into future European demand for cold and cough medication has not improved meaningfully. A few weeks ago, we announced the acquisition of Mod3 Pharma's clinical trial manufacturing capabilities. This expands Aptar Pharma services into highly specific CDMO field supporting Phase I and Phase II GMP fill and finished services for orally inhaled nasal drug products, an area we view as a significant unmet market need. We believe this added capability will help accelerate adoption of our proprietary drug delivery devices and further strengthen our position as a preferred partner in early-stage development. As a result of this acquisition we now operate an FDA-inspected state-of-the-art facility in New Jersey featuring cGMP clean rooms, high-potency API suites, biologic capabilities and advanced small-scale fill-finish technologies fully aligned with our drug delivery portfolio. The acquisition is also expected to enable future expansion into dermal, ophthalmic injectable and packaging solutions powered by our Active Materials Science division. Our Closures segment had a great quarter, bringing Closures under one roof appears to be really paying off. Core sales have been spurred by a solid innovation pipeline, enabling the segment to grow faster than the industry while also improving utilization rates and managing costs to expand margins. We're energized by the future of the segment and the opportunities ahead. Now let me touch on Beauty. Cost management is a well-developed muscle in the segment, and the beauty industry remains resilient and poised for sustained growth, driven by regional expansion, product innovation and evolving consumer preferences. While Prestige beauty has faced headwinds from trade uncertainties, which is slowing demand recovery despite a few encouraging signs, our growth in Masstige fragrance is helping to offset some of that softness. Additionally, continued momentum in Personal Care supported by a broad and globally relevant portfolio reinforces the resilience of the segment. To further enhance the competitiveness of our industrial footprint, earlier this week, we executed a previously agreed-upon call option to increase the ownership in our BTY joint venture to 80%. While the JV assets are based in China and serve the broader Asia region, BTY brings highly specialized custom decoration capabilities that will also be leveraged at our flagship beauty facility in Oyonnax, France. Moving to Slide 4. I'm proud to highlight recent corporate awards and recognitions. At the end of the quarter, Aptar was named one of Time Magazine's World's Most Sustainable Companies for the second year in a row. For this recognition, over 5,000 of the world's largest and most influential companies are assessed based on revenue, market capitalization and public prominence. Only the top 10% were recognized with an award. Following the end of the quarter, Aptar was again named to CDP's Supplier Engagement Assessment A List for the 2024 disclosure cycle. This CDP assessment evaluates companies on their performance on governance, targets, Scope 3 emissions and value chain engagement. Turning to Innovation. I want to now highlight just a few recent technologies and product launches as shown on Slide 5. Our recent innovation, the lateral control system with a shorter nozzle and easy one-push button actuation for precise dosing is the dispensing solution of choice for Haleon's nasal, Theraflu brand congestion relief in the U.S. This is Theraflu's first nasal decongestion product. I also wanted to cover a topic that spans both beauty and pharma markets. The combined dermacosmetics and medical aesthetics market has been growing double digits over the past 5 years. According to IQVIA, these markets are expected to keep growing 2 to 3 points above the beauty market average growth rate. We are addressing this fast rising market with a range of solutions tailored to the needs of dermacosmetic brands. Our recently launched Pharma, Beauty, Derma series features a curated selection of high-performance packaging and dispensing solutions adapted perfectly to the specifications of the dermacosmetic market. Before I turn the call over to Vanessa to share further details of the quarter, I want to highlight that we continue to ramp up share purchases. For the first 6 months of the year, we repurchased approximately 1 million shares for about $150 million and returned about $210 million to shareholders through both dividends and share repurchases. Now I would like to turn the call over to Vanessa.
Vanessa Kanu: Thank you, Stephan and good morning, everyone. Let me begin by summarizing the highlights for the quarter. Starting on Slide 6. Our reported sales increased 6%, which included a foreign currency translation tailwind of approximately 3%. Therefore, core sales grew 3% compared to the prior year period. As shown on Slide 7, we achieved adjusted EBITDA of $218 million, an increase of 13% from the prior year. We reported adjusted earnings per share of $1.66 versus the prior year's $1.41 at comparable exchange rates. The effective tax rate for the second quarter was 20.0% compared to 23.5% in the prior year. The lower effective tax rate reflects the realization of previously unrecognized tax loss benefits as part of our ongoing tax planning as well as greater tax benefits from share- based compensation. Neutralizing for foreign currency effects and tax, adjusted earnings per share would have increased 13% over the prior year quarter. We should note that actual exchange rates and the effective tax rate for the quarter were comparable to the guidance provided on our last earnings call. With those high level comments, let's take a closer look at segment performance. Turning to Slide 8. Our Pharma segment's core sales increased 3%. Let me break that down by market, starting with our proprietary drug delivery systems. Prescription core sales increased 8%, driven by strong demand for dosing and dispensing technologies for emergency medicines, asthma and COPD therapeutics and royalty payments. Consumer healthcare core sales decreased 14%, primarily due to continued inventory management by customers in Europe, leading to softer demand for nasal decongestants and nasal saline rinse solutions. Sales for Ophthalmic solutions continued to grow in the quarter, but could not offset the overall decline in cough and cold medicines. Injectables core sales increased 9% and with strong demand for elastomeric components used for biologics, GLP-1, small molecule and anti-thrombotic applications, contributing positively to the results. Services also contributed positively in the quarter. And for our Active Material Science solutions, core sales increased 11%, driven by strong demand for our active film technology. Pharma's adjusted EBITDA margin for the quarter was 35.4%, a 130 basis points improvement from the prior year. The margin improvement was driven by increased sales of higher-value products, services and royalties as well as ongoing operational efficiency. Moving to our Beauty segment on Slide 9. Core sales increased 1% in the quarter, primarily driven by stronger tooling sales. Looking at the beauty segment by market, Fragrance, facial skin care and color cosmetics core sales decreased 4%, primarily due to lower sales of skin care dispensing products for Indie brands as well as muted customer demand for our prestige fragrance dispensing technologies given tariff-related uncertainties. Core sales from Masstige fragrance continued to show solid growth. Personal Care core sales increased 11%. About half of the core sales increase can be attributed to tooling sales, as well as continued strong demand for body care and hair care applications. And core sales for home care were flat in the quarter. The Beauty segment's adjusted EBITDA margin for the quarter was 14.1%, an improvement of 20 basis points, largely attributed to ongoing cost management efforts. Moving to Slide 10. Our closure segment core sales increased by 7% compared to the prior year. The segment saw product sales growth in key end markets across nearly all regions. When looking at the market fields for Closures, food core sales increased 13%. Product sales for food were driven by strong demand across nearly all of the end market categories, including sauces, condiments, salad dressing, spreads and jellies, as well as food protection. Beverage core sales increased 7%, primarily driven by increased sales of functional drinks and bottled water. Personal Care core sales decreased 4%, primarily due to lower tooling sales compared to the prior year. While in our other category, which includes beauty, home care and health care, core sales increased 1%, driven by higher sales for dish and laundry care solutions. Closures adjusted EBITDA margin was 16.9%, representing a solid 130 basis points improvement over the prior year, primarily due to volume growth and continued cost management. At the total company level, due to ongoing cost reduction efforts, increased volumes and improved revenue mix, consolidated gross margins expanded over 30 basis points in Q2 year-over-year while SG&A as a percentage of sales declined from 16.4% last year to 15.6% this year, an 80 basis point reduction year-over-year. One thing I will note on SG&A. Over the last few months, we have begun to incur costs related to litigating our pharma intellectual property rights. While the costs in Q2 were not material to highlight, we do anticipate legal fees associated with this effort to increase significantly, which I will speak to you in the quarterly guidance section. Overall, with a strong gross margin and SG&A performance in Q2, consolidated adjusted EBITDA margins expanded by 140 basis points to 22.6%, compared to 21.2% in the prior year. Slides 11 and 12 cover our year-to-date performance and show that both reported sales and core sales increased 2%. Our reported earnings per share increased 10% and adjusted earnings per share increased 8% compared to the prior year, including comparable exchange rates. The current year had an effective tax rate of 22.5% compared to the prior year's effective tax rate of 22.1%. Neutralizing both the effective tax rate and the exchange rate for the year ago period, adjusted earnings per share would have been up 9%. Additionally, during the 6-month period, adjusted EBITDA margin increased by 130 basis points to 21.7%. In the first 6 months, free cash flow was $92 million, comprising cash from operations of $209 million, less capital expenditures net of government grants of $117 million. Free cash flow overall was in line with the prior year period. Finally, we ended June with a strong balance sheet, once again, reflecting cash and short-term investments of nearly $170 million, net debt of $917 million and a leverage ratio of 1.19. Now moving on to outlook. Slide 13 summarizes our outlook for the third quarter. We anticipate third quarter adjusted earnings per share, which excludes any restructuring expenses, acquisition costs, changes in the unrealized fair value of equity investments as well as an anticipated revaluation of our BTY investments to be in the range of $1.53 to $1.61 per share. EPS for Q3 2025 reflects a negative impact of approximately $0.06 to $0.07, driven by the elevated legal expenses that I mentioned previously associated with litigating our pharma intellectual property rights. The effective tax rate for the third quarter is anticipated to be in the range of 20.5% to 22.5%. Our guidance for the quarter is assuming a 1.15 Euro to U.S. dollar exchange rate. With that, I will turn it over to Stephan to provide a few closing comments before we move to Q&A.
Stephan B. Tanda: Thank you, Vanessa. We are pleased with the continued resilience and adaptability of our teams as they successfully navigated a dynamic second quarter. Despite the complex macroeconomic backdrop, we delivered strong performance and made meaningful progress across several strategic areas. In the second quarter, we saw some end markets pull forward order volumes from quarter 3 to avoid tariff uncertainties as customers move to secure inventory ahead of potential trade disruptions. At the same time, other markets such as Prestige fragrance were impacted by broader uncertainty, leading to delays in new product launches, which also impacts our sampling business. Our nasal saline and decongestion dispensing solutions continue to face headwinds, and we expect these challenges to persist into the third quarter. So looking ahead for the third quarter, we anticipate continuing to navigate a diverse set of macroeconomic and supply chain conditions across our portfolio. In our pharma segment, we anticipate that injectables is poised for another strong quarter continuing the positive product sales momentum we've seen all year, and we expect to finish the year strong. The industrial capabilities that we have added to our injectables division since 2020 are now contributing nicely to the business' growth. Within proprietary drug delivery systems, we want to call out 2 specific headwinds. We expect the cough and cold end markets in Europe to continue to face elevated inventory levels while in the U.S., a market inflection point has already been reached. In Emergency Medicine, we anticipate challenging year-over-year comparison as Naloxone sales begin to normalize following a period of rapid growth. These products are distributed through nontraditional channels, making restocking patterns very difficult to monitor and predict. While most funding for naloxone remains at the state level, recent federal guidance, such as the executive order discouraging federal funding for harm reduction programs has introduced additional uncertainty that may affect future demand. In the medium to long term, we continue to believe in the strength of our pharma pipeline, which is growing and expanding into new areas, including systemic nasal drug delivery. As a recent example, just last week, a study conducted by Wake Forest University School of Medicine in collaboration with Aptar was released demonstrating that intranasal insulin delivered using Aptar's Precision Nasal 3 system successfully reached 11 key brain regions associated with memory and cognition in older adults. This was confirmed through PET or positron emission tomography imaging marking the first direct evidence that active compounds like insulin administered through the nose can reach targeted areas of the brain, an essential step for developing effective Alzheimer's treatment. The study also emphasized that this delivery method could be adapted for other neurological treatments, reinforcing the potential of nose to bring drug delivery as a transformative route for central nervous system therapies. The growing recognition of the respiratory system as a viable delivery route for targeted therapies is very exciting for us and will be a substantial future growth platform for our pharma business. In Beauty & Closures, we expect the positive contribution in Q3. Continued product sales growth in Closures is expected to be dampened somewhat by lower tooling sales. And the key question in beauty remains around the timing of the rebound in prestige fragrance dispensing systems. Our data and customer conversations indicate that some clients are operating at very low inventory levels awaiting clarity on tariffs. Last weekend's announcement of the U.S. EU trade deal should provide the much-needed clarity to our European clients, but the development is too recent to have been incorporated in our quarter 3 guidance. Across all segments, cost discipline remains a top priority. We continue to explore and execute initiatives that meaningfully enhance earnings per share. In summary, while macroeconomic supply chain and public policy factors may temper revenue in certain end markets, we anticipate continuing to build on the momentum we have established over the past 2-plus years and are well positioned for continued growth. With that, I would like to open up the call for your questions.
Operator: [Operator Instructions] Our first question comes from Ghansham Panjabi from Baird.
Ghansham Panjabi: I guess, Stephan, can you just give us more color on the naloxone, I'm pronouncing that correctly -- comment as it relates to sales beginning to normalize. How should we think about that dynamic impacting your core sales growth specific to pharma over the -- for the back half of the year and maybe into 2026 as well? And also, how will that impact margin mix?
Stephan B. Tanda: Ghansham, naloxone is part of emergency treatment, which clearly have grown nicely from about 2% of revenue a few years back to today 5%. Now Narcan and its generic versions that we also supply obviously, is applying to these nontraditional channels. We've called out several times that they are hard to track, and we believe there is inventory, but we can't track it. Now, we start to hear from our customers extreme uncertainty, rescheduling of orders and then this recent executive order on top of it, certainly makes us think that growth is going to be much more muted for naloxone at least for the next quarter or 2. And clearly, that will have an impact on the overall pharma growth rate. Now having said that, there's a bit of a relay race going on, Injectables is picking up the pace quite nicely with high single digit, maybe even low double-digit sales growth. And Active Materials had a great quarter. And clearly, as of quarter 4, we have different comparisons for the consumer health care. There will be a mix effect. At the same time, we have royalties kicking in continuously. So yes, we have grown anywhere from 1% to, I think, 12%, 13% in the pharma business and that growth will vary. And this is just a current iteration of these fluctuations. But as we said often, one single product doesn't make or break the business. We have thousands of products and thousands of customers. But clearly, naloxone is important enough that we wanted to call it out in this current state of extreme uncertainty.
Ghansham Panjabi: Okay. And in terms of what you're embedding for pharma growth in the back half of the year versus the first half, I mean, obviously, you've had very strong years for pharma and the core sales is tracking about half of what it's averaged over the last 2 years. Is that going to look very different in the back half of the year? And then just one final clarification. I think you mentioned cough and cold inflected in the U.S. during the quarter. What kind of an inflection did you see in terms of growth?
Stephan B. Tanda: We saw a nice growth in the U.S., let's say, mid-single digits. Europe, of course, is still a much bigger part of that .
Ghansham Panjabi: And pharma back half growth versus first half?
Stephan B. Tanda: Yes, it will be slower but we don't guide by segment growth rate, as you know, it will continue to have growth in the second half.
Operator: Our next question comes from George Staphos from Bank of America.
George Leon Staphos: My 2 questions. Maybe the first one, I'll piggy back off of Ghansham's question. So can you talk a little bit more about CHC, the consumer side. This is the deepest downturn and longest downturn in that end market for pharma that you reported since you've been reporting on the end market data which goes back a number of years, Stephan. So I mean, we get it. There was too much inventory and now we're going through destocking. But what caused such a big buildup and in turn is causing such an extended period of downturn in that particular end market within pharma. Recognizing the comps get easy and hopefully fourth quarter or first quarter next year, it's a different story. But if you could give us a bit more color, that would be great.
Stephan B. Tanda: Sure, George. And sorry for the butchering of your last name. Coming back to the topic. So there are a number of factors involved here. Coming out of COVID, we had a very brisk pickup of growth. And when that happens, I think I mentioned before, sometimes we just can't supply the demand. And then customers take notes, oh, you can't supply. So let me put it in an extra order. If you short ship me 3 orders, when I only need one, then I still get what I need and they start to build inventory. Of course, if you multiply this across the whole value chain, we believe that's what happened. So it's not just the cold and cough, good season, bad season, you have this upstream in demand and everybody is starting to hoard products. And once they realize, okay, now there's plenty of supply, and let me work off the inventory. So I think that's one part. Two, is the cold and cough season. And three, we talked about also is that we had to step back from a significant portion of the Russian market for obvious reasons. So those 3 things together really contribute to the development that you highlighted.
George Leon Staphos: Okay. Just a point of clarification there. And my second question, I'll ask as well. So from your vantage point, you have not lost share from what you can track in that piece of the market within Europe and kind of what would be your proof points there? And then you brought it up, the legal expenditures -- can you -- I know it's legal, it's litigation, you can't say much, if anything. But what in particular has been -- have you been litigating around your intellectual property rights? Is it regionally centered? Is there anything else you can tell us? And based on what you know, is this going to continue past third quarter into fourth quarter and beyond.
Stephan B. Tanda: Yes. On the share question, with the exception of Russia, obviously, somebody picked up that business, most likely Chinese. With the exception of Russia, the best of our knowledge, we have not lost any share. And I'm actually quite excited with some of the developments that have come out. I spoke earlier about -- it's a very technical name, lateral actuation, but it's a nasal spray that now has a push button and you push the button and you get exact dose, and you can buy it in the U.S. under the Theraflu brand, I already bought half a dozen. We're actually very excited about the development in consumer health care, but we appreciate your patience as we work through this inventory, mega cycle, let's call it that way. On the legal front, you've covered this a very long time. So you will remember that sometimes our customers forget their confidentiality obligations. We actually brought a lawsuit to one of our largest customer, Kraft Heinz, way back when. It was, of course, in a different Kraft Heinz, leadership. And in the end, we prevailed. And today, we receive customer awards from Kraft Heinz. But sometimes you have to remind customers that they have obligations to safeguard our intellectual property, be it patents, be it, know-how, be it trade secrets that does apply to them under appropriate confidentiality agreements. And this is another case like that, indeed, because it's litigation, we can't comment on the details. But our business is founded on a decades-long experience, know-how and patents and when they are not observed, we defend them vigorously. This will be with us for a few quarters. It's not an ongoing part of our business, but when it's required, of course, we defend what is important to our business.
Operator: Our next question comes from Matthew Roberts from Raymond James.
Matthew Burke Roberts: Not to belabor the point on Mr. Staphos' question. But that legal expense, you did note some in 2Q -- sorry, George. So since that -- since our last call or even in June, what changed that was more material to call out? I believe the response is due in June. So is there anything in the public docket that you could share? Or if you maybe try to frame scenarios on when those settle, what would that look like? I mean would it be monetary damages received or on the contrary, could there be any change in the pharma pipeline from this?
Stephan B. Tanda: So we do not expect any change. And in fact, other than the legal cost, there is no impact to our P&L at the moment, but we want to make sure it stays that way. So this is more of a preemptive move to safeguard our intellectual property. And yes, depending on your Googling skills, you may find something, but we'd rather not discuss it here.
Matthew Burke Roberts: Fair enough. I'll work on my Southern District [indiscernible]. Switching topics, maybe on the beauty side, fragrance, skincare and cosmetics, I believe that was down 4%. What it the overall Prestige markets seeing in 2Q? And were headwinds really bound to a certain region and given now we have some more visibility on tariffs, any color on expected timing for rollout and what you expect for that category going into the second half?
Stephan B. Tanda: Yes. we certainly take a lot of -- not comfort it's probably, but we're happy that the uncertainty for our European customers, which is the most important for Prestige beauty, with respect to imports to the U.S. has been resolved. Unfortunately, it comes too late for the third quarter. It's just last weekend. Most of you know, France is shut down in August and then pretty much the quarter is over. So I think at that moment, we will be able to give you much better color with quarter 3. And clearly, an increased launch activity on the Prestige side will help us not only selling more pumps but also reinvigorating our sampling business that has really been depressed. If companies don't launch, they also don't need any samples to support the launch. So China, Asia is actually doing very well. This is more for local brands, and that has developed nicely. But of course, the European market that then reexport to the U.S. into Asia is still much bigger for us.
Operator: Our next question comes from Daniel Rizzo from Jefferies.
Daniel Rizzo: Just to kind of belabor the point, with the nasal decongestant softness, was that always more of a European issue versus the U.S.? Or has the U.S. just gotten through it faster?
Stephan B. Tanda: Well, first, the European market for us is much bigger. It is historically more of a nasal spray kind of market. And indeed, the U.S. has gotten through it much faster, didn't have as much inventory buildup hindsight in 2020 in the supply chain. And then, of course, Russia is also a big nasal decon market.
Daniel Rizzo: And then in beverages, one of competitors called out on-the-go beverages being kind of overstocked, but it's not something that seems to be affecting you guys. I was wondering if that's not really a large market for you guys? Or if you just kind of weathered it better. I guess the quick question though is, have you seen like on-the-go cold beverages being an issue for you over the past quarter, seemingly now?
Stephan B. Tanda: No. Overall, our beverage business is up nicely. It's, of course, very diversified between bottled water, sports drink, energy drinks and also geographically diversified. So -- in addition, we continue to pump innovation into that market. So overall, we're quite happy with the beverage market.
Operator: Our next question comes from Gabe Hajde from Wells Fargo.
Gabrial Shane Hajde: I know it's probably challenging. But I think you mentioned the size of the Narcan, nalaxone business for you all at this point. Is there any way to discern where or who's buying those products? I know you mentioned some federal subsidization or funding that may impact the product line as well. Maybe just help us understand from your vantage point, how that could impact it.
Stephan B. Tanda: Yes. It's a very broad set of distribution what has accelerated that market, greatly. If you remember, when Narcan went over the counter, it wasn't the people lined up to go to CVS or Walgreens to buy it. It was that the state level harm reduction agencies could not buy it without prescription and just distribute it. And those state harm reduction agencies are funded not so much by federal funds, but by the settlement money from the opioid overdose crisis. So those funds are still there. The question is have their distribution points, whether it's fire stations, school buildings, libraries and all the nontraditional stuff being saturated. And depending on the color of the state, this executive order changed their priorities on what they spend on the settlement money on. They can spend it on other things. They don't have to spend it on Narcan. And certainly, there is enough noise in the system that we hear from our customers. The best signal we have is what our customers tell us and frankly, what they do with their orders. And when they start to get nervous and push orders out and say we're not sure about this and the order was X, now it's Y. We see enough noise in the system that this is real. This is slowing down and that's the best we can tell you.
Gabrial Shane Hajde: Fair enough. I appreciate that. It's always tough to track this stuff down to the end user. And I guess on the litigation, I just sort of want to make sure I heard you correctly. The legal expenses, $6 million, $7 million this quarter and probably persist into Q4. And then hopefully, there's some sort of resolution? Meaning the litigation costs of $6 million to $7 million. Yes, okay, $0.06 to $0.07.
Vanessa Kanu: Yes, it's $0.06 to $0.07. Yes, which is about $5 million to $6 million a quarter. And as Stephan said, we would expect that for the next few quarters. And I think that's a good run rate for now. And of course, we don't expect this will be a long-term thing, and we'll update you as things progress.
Operator: [Operator Instructions] Next question comes from George Staphos, Bank of America.
George Leon Staphos: Stephan, could you talk to us a little bit about the acquisition in New Jersey I know there's not going to be a single type of customer. I don't think there will be anyway. But can you talk to us about who the typical types of customers will be? Can you go through a little bit more detail in terms of what services will be offered? One of the things that you said suggested you also might be doing contract filling. And I don't want to -- just if you could sort of confirm or correct that view? Just anything that you have on that acquisition would be interesting. And then I had a quick follow-on within Beauty.
Stephan B. Tanda: Sure. So thanks for asking for the clarification. No, we're not contract fillers. So we're not changing our -- scope of our business. This is a further build-out of our service capability in early-stage development. And as innovators need product that they can put in the clinic for Phase I and Phase II trials, that product needs to be filled. . Now you're talking very low volumes, but you need to have the qualified clean rooms and cGMP facilities to do that, to support early- stage trials. And we just see the pipeline continue to expand and explode probably too much. But significantly expand in systemic nasal drug delivery, we'll give you more color at the upcoming Investor Day. But when you hear things like neurological drugs for Parkinson's, Alzheimer's and things like that, you really want to make sure that these innovators get everything they need to advance their projects. And this is really expanding that capability that they get in the clinic faster, that they get to do the trials. But we're not the contract manufacturing facility for large-scale filling.
George Leon Staphos: Understood. Stephan, recognizing you just venturing into this now, is this something that you could see as perhaps a fourth or fifth leg to the pharma business, recognizing, yes, you've been developing the services component of your business for a few years now, but is this something that you expect you might even be able to broaden out? And if you did, what would it do to margins? What kind of multiples do these businesses trade at? Just curious there. And then back to Beauty. Go ahead first with that one. Go ahead.
Stephan B. Tanda: Yes. So look, if you add all of our services, including digital, you get a few tens of millions, certainly less than $100 million, and we may have added a few more million here. At the end of the day, all of this is still to accelerate what's in the pipeline, broaden what's in the pipeline and ensure that we have more device sales at the end that, as you know, for us, to grow in perpetuities. And the more of these growing perpetuity you can start to stack on top of each other, the better off we'll be. But compared to device sales, it's still small. And I think we paid for this facility, some $7 million or so. So it's not a major change of our footprint.
George Leon Staphos: Okay. I appreciate you going through that. Stephan, it's very helpful. In Beauty, some of the other companies that have reported this reporting period have mentioned that they seem to be doing relatively well. I seem to remember a comment that sampling growth for some of the other players was doing fairly well. I don't know if there's a way again that you can track share there. I know it's kind of a disparate market, but do you think you're losing share in Beauty? Or is it just, hey, listen, it's customer mix and some customers have new products out in the market, yours might not have as many and this just sort of cycles back and forth like a pendulum? How would you have us think about that? And why?
Stephan B. Tanda: Yes. I think you answered your own question, George. We're more on the Prestige. So I'm not sure I can add a lot more and we have a different geographic mix. We are not as much in the -- or not at all in the mass part of it. So we can't add more color than the way you answered it.
George Leon Staphos: Okay. Yes, I thought the momentum was also in Prestige and some of the other reports, but I'll double check.
Operator: Our next question are from Gabe Hajde from Wells Fargo.
Gabrial Shane Hajde: I wanted to follow up on the active packaging press release that you all put out in terms of having an oral solid dose solution for GLP-1. I'm just curious maybe how far along testing is for that or just where we are and maybe it's probably too early, but help us understand maybe what the opportunity set could look like for that?
Stephan B. Tanda: Yes. Maybe backing up a little bit. So our active materials in oral solid dose that basically means there is a film in every blister that contains a pill and that film helps with the conditioning of the atmosphere inside the blister that helps with stability of a drug or reduces the production of nitrosamine. We also announced that we can reduce oxygen and moisture at the same time. So it's a very sophisticated offering for certain drugs, for example, DESCOVY is one of those. And now this GLP-1 drug is in Phase III. So we certainly don't want to speculate on approval time lines and commercialization time lines. But it's another proof point about how good the technology is.
Operator: Our next question comes from Matthew Roberts from Raymond James.
Matthew Burke Roberts: Earlier you spent a good bit of time talking about emergency medicine and contribution in sales, but I want to ask about another medication, a customer, nasally delivered depression medication was up 53%, again, I believe, in 2Q and sales are now exceeding $1 billion on that product. So could you give a little more color around depression medication and the growth you've seen there? And while those growth rates are certainly very impressive, it seems like it's coming off the peak as well. So any influence that has on that long-term pharma growth rate?
Stephan B. Tanda: Yes. I think you may be referring to Janssen or Johnson & Johnson's SPRAVATO and that is indeed enabled by our Bidose nasal delivery system. And indeed, it's not categorized as emergency treatment, but it's a great product. It's certainly contributing to our growth. And they also got approval in China, not too far back and continue to drive growth. So it's an exciting product. And we have other products for depression treatment in the pipeline that may have different treatment regimes or different molecules. So it's another example of systemic nasal drug delivery or central nervous system drug delivery.
Matthew Burke Roberts: That's helpful. And are you able to quantify how much depression medication is as a percentage of sales in a similar fashion as you've done for emergency medication? Basically emergency medication is 5%. Is there a quantitation for depression medication?
Stephan B. Tanda: Okay. Maybe Vanessa you should correct me.
Vanessa Kanu: Yes, Matt, it's within our emergency medicine, which Stephan pointed out earlier, about 5% of it. Yes.
Stephan B. Tanda: Always better to get the numbers from the CFO.
Operator: We currently have no questions. So at this time, I'd like to hand back to Stephan Tanda for some closing remarks.
Stephan B. Tanda: Very good. So let me summarize the call by zooming out. I just want to say that, again, how proud I am of our teams. They really have executed with tremendous agility, perseverance, determination, grit, whatever you want to say, delivering a very strong quarter across the board, exceeding the top end of our guidance range and we don't take that lightly, ending up with an 18% EPS growth. Just -- let's recall, April 2 was not that long ago, and it just created a lot of uncertainty for our customers, supply chains and consumers around the world. And our team has executed in the face of this and with tremendous agility. Our resilience is indeed rooted in our unique leadership positions across the critical end markets we operate delivering dispensing solutions for chronic disease treatment and everyday consumer essentials. While we face the uncertainty around Naloxone sales and sales trajectory, let's remember the fundamentals of our pharma end markets remain highly favorable and our project pipeline continues to grow and we support the growing project pipeline. We talked about the fact that our novel innovations and decades of experience drive a significant body of intellectual property, including patents, know-how and trade secrets and we protect them vigorously. The consumer businesses are gaining traction with innovations and ongoing improvements in competitiveness driving both top line and bottom line in our region-for-region supply chains with more than 50 manufacturing sites allow us to execute that agility and operational flexibility. Given all of that, we didn't talk much about it, but we've accelerated capital returns to shareholders, underscoring our confidence in the business. And with all that, let me wish you a good rest of the summer. We look forward to seeing you all at the Investor Day on September 9 in New York City where you can experience hands on some of our exciting innovations, but you have to be there for that. With that, operator, we can close the call.
Operator: Thank you very much. This concludes today's call. We thank everyone for joining. You may now disconnect your lines.